Operator: Good afternoon, ladies and gentlemen, and welcome to Cathay General Bancorp’s First Quarter 2013 Earnings Conference Call. My name is Karess and I will be your coordinator for today. At this time, all participants are in listen-only mode. Following the prepared remarks, there will be a question-and-answer session. (Operator Instructions) Today’s call is being recorded and will be available for replay at www.cathaygeneralbancorp.com. Now, I would like to turn the call over to Monica Chen, Investor Relations for Cathay General Bancorp.
Monica Chen: Thank you, Karess, and good afternoon. Here to discuss the financial results today are Mr. Dunson Cheng, our Chairman of the Board, President and Chief Executive Officer; Mr. Heng Chen, our Executive Vice President and Chief Financial Officer; and Mr. Kim Bingham, our Executive Vice President and Chief Credit Officer. Before we begin, we wish to remind you that the speakers on this call may make forward-looking statements within the meaning of the applicable provisions of the Private Securities Litigation Reform Act of 1995 concerning future results and events, and these statements are subject to certain risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are further described in the company’s Annual Report on Form 10-K for the year ended December 31, 2012, at Item 1A in particular, and in other reports and filings with the Securities and Exchange Commission from time-to-time. As such, we caution you not to place undue reliance on such forward-looking statements, which speak only as of the date of this presentation. We undertake no obligation to update any forward-looking statements or to publicly announce any revision of any forward-looking statements to reflect future developments or events, except as required by law. This afternoon, Cathay General Bancorp issued an earning release outlining its first quarter 2013 results. To obtain the copy, please visit our website at www.cathaygeneralbancorp.com. After comments by management today, we will open up this call for questions. I will now turn the call over to our Chairman of the Board, President and CEO, Mr. Dunson Cheng.
Dunson Cheng: Thank you, Monica, and good afternoon. Welcome to our earnings conference call. This afternoon, Cathay General Bancorp reported net income of $28.8 million for the first quarter 2013 or $0.30 per common share. That compared to a net income of $28.9 million or $0.32 per common share for the first quarter of 2012 and $28.3 million or $0.31 per common share for the fourth quarter of 2012. In the first quarter, we saw an overall decrease in loans of $65 million or 1% compared to a decrease during the first quarter of 2012 of $151 million or 2%. Commercial loans decreased by $86 million, residential loans increased by $37 million and commercial mortgages decreased by $18 million. The decrease in C&I loans was mostly due to seasonality and the repayment in January 2013 of several loans originated in December ’12 as well as $21 million decrease in C&I loans in our Hong Kong office. In the first quarter of 2012, our C&I loans decreased by $23 million, for the full-year of 2012, increase in C&I loans was $259 million. Based on our internal forecast, we still expect full year of loan growth of 5% to 6% about the same as last year. For the first quarter of 2013, our total deposits increased $42.4 million or 0.6% from $7.4 billion at December 31, 2012. Core deposits increased 4% annualized during the first quarter. During the first quarter, we signed agreement for two new branches and expect to sign another lease for the third one in the second quarter. Net charge-off for the first quarter of 2013 was $2.7 million compared to net charge-off of $8.1 million the same quarter a year ago. Our loan loss provision was zero for the first quarter of 2013 compared to a credit of $4 million in the first quarter of 2012. Our non-accrual loans decreased 3% or $3.6 million during the first quarter to $100.3 million or 1.4% of period-end loans. On March 20, 2013, we redeemed $129 million or 50% of Bancorp’s preferred stock issued under the U.S. Treasury’s TARP Capital Purchase plan. On April 5th of this year, the Federal Reserve Bank terminated its MOU on the Bancorp. With that, I will turn the floor over to our Executive Vice President and CFO, Heng Chen, to discuss the first quarter’s 2013 financials in more detail. Heng?
Heng Chen: Thank you, Dunson and good afternoon everyone. For the first quarter we announced net income of $28.8 million or $0.30 per share. Included in first quarter results were $5.6 million in prepayment penalties as well as $6.3 million in security gains. The repayment – the prepayment of TARP resulted in after-tax charge of $1.3 million for the remaining unamortized discount related to the TARP stock redeem. Our net interest margin was 3.35% in the first quarter of 2013 compared to 3.28% in the fourth quarter of 2012, and compared to 3.33% for the first quarter of 2012. In the first quarter of 2013, we prepaid $100 million of structural repos with an average rate of 4.61% with a prepayment cost of $5.6 million. We expect a continued improvement in the net interest margin during 2013 as a result of the full quarter impact of the first quarter actions, the repayment during the second quarter of 2013 of $200 million of structural repos with an average rate of 3.65%, and the resumption of strong loan growth. Non-interest income during the first quarter of 2013 was $14.9 million, including $6.3 million of security gains, which offset the $5.6 million prepayment penalties incurred during the first quarter. Non-interest expense, excluding cost associated with redemption of debt, decreased $1.6 million to $43.5 million in the first quarter of 2013 compared to $45.1 million in the same quarter a year ago. The decrease was due to a $4.1 million decrease in OREO expense, which more than offset a $3 million increase in salary and employee benefits expense. At March 31, 2013, our Tier 1 leverage capital ratio decreased slightly to 13.07%, Tier 1 risk-based capital ratio decreased to 16.41%, and total risk-based capital ratio decreased to 18.19% as a result of the repayment of $129 million of TARP. All ratios significantly exceeded well-capitalized minimum ratios under all the regulatory guidelines. At March 31, 2013, our Tier 1 common risk-based capital ratio was 13.26%. We continue to have discussions with our regulators concerning the repayment of the remainder of TARP using dividends from Cathay Bank. With that, I would like to turn the call to our Executive Vice President and Chief Credit Officer, Mr. Kim Bingham.
Kim Bingham: Thank you, Heng, and good afternoon everyone. Our classified assets ratio for Cathay Bank decreased to 30.8% at March 31, 2013 compared to 33.5% at December 31, 2012. Loans rated substandard or worse decreased from $437 million at December 31 to $408 million at March 31, a decrease of $29 million. The decrease in classified loans during the first quarter resulted from $37 million of net payments, $12 million of downgrades net, and $4 million of charge-offs. Net charge-offs for the first quarter of 2013 totaled $2.7 million, or 0.15% of average loans compared to net charge-offs of 0.07% of loans during the fourth quarter of 2012. The provision for credit losses was zero compared to zero for the fourth quarter of 2012 and a negative provision of $4 million in the same quarter a year ago. We anticipate that a continuation of current trends will allow for a zero or low quarterly loss provision throughout 2013. Total non-accrual portfolio loans decreased by 3.4% or $3.6 million to $100.3 million at March 31, 2013 compared to $103.9 million at December 31, 2012. During the first quarter, total inflows to non-accrual loans were $12.8 million, transfers to OREO were $0.4 million, charge-offs were $4.1 million, and cures and repayments were $11.9 million. With that, I would like to turn the call back to Dunson.
Dunson Cheng: Okay, thank you, Kim. We will now proceed to the question-and-answer period of the call.
Operator: Ladies and gentlemen, we are ready to open the lines for your questions. (Operator Instructions) And your first question comes from the line of Aaron Deer with Sandler O’Neill & Partners. Please proceed.
Aaron Deer - Sandler O’Neill & Partners: Hi. Good afternoon, guys.
Dunson Cheng: Hi, good afternoon.
Aaron Deer - Sandler O’Neill & Partners: Just to begin, I would like to talk a bit about the loan growth expectations. It sounds like you are fairly optimistic for loan growth for the year. So, just wondered as you look at the first quarter results, can you talk a little bit about the decline in commercial balances and how much of that was related to maybe seasonal trends in the quarter with trade finance or where line usage stood, and where the pipeline is today versus a few months ago?
Heng Chen: Yes, Aaron. As I mentioned before as I look at our C&I loan decreases in the quarter most – I would say most of it were related to seasonality. In a sense that after the Christmas season, our trading customer or commercial customer collected some receivables and obviously they used the money to repay the line. And I would imagine roughly – I want to say about the 60% to 70% of the decrease of the $87 million came from this. And obviously unexpectedly in our Hong Kong office there was a couple of loans that were repaid, and that amounts to as I mentioned in $21 million. And we also participated on couple of loans to other banks, and that is the extent of our decrease.
Aaron Deer - Sandler O’Neill & Partners: Okay, thank you. Forgive me if I missed that at the beginning of the call. I came on a little late, the...
Heng Chen: That’s okay. I think at this point in time, we are still pretty optimistic about our loan book, and right now the internal projection is it will grow roughly about 5% to 6% this year.
Aaron Deer - Sandler O’Neill & Partners: Okay. And then as I recall you’re planning to do some mortgage loan sales, how much of that was done if any during the quarter and what kind of premiums were you getting on those sales?
Heng Chen: Yeah, Aaron I believe it was about $25 million and the total gain counting, we cap by servicing at 1%. The total gains were about $800,000, so it’s little less than 2% or something like that or anyway we can do the math, that’s what it was.
Aaron Deer - Sandler O’Neill & Partners: Okay. And then lastly just one more if I may, the compensation bumped up in the quarter. I am guessing some of that is a higher anticipated bonus accruals for you, particularly after TARP is repaid. But how much of that was just seasonal in nature that we might see drop back down here in the second quarter?
Heng Chen: Yeah, actually this is Heng Chen, there is two parts. The FICA that relates to the higher – to the bonus payments that’s and the fact that at the beginning of the year, the FICA is higher until people go through the annual limits, that’s about $1 million. And then we had a catch-up adjustment for 2012 of about $1 million.
Aaron Deer - Sandler O’Neill & Partners: Okay.
Heng Chen: For bonuses. So right now, there is no – we are paying salary stock for the executive officers. So, there is really nothing additional that might or we’re not accruing anything in anticipation of TARP repayment.
Aaron Deer - Sandler O’Neill & Partners: So if – once you do have full repayment assuming that that’s done here in the second or third quarter, could we see a bump-up then in compensation in the third or fourth quarter as a result of higher accruals (Technical Difficulty).
Operator: (Operator Instructions) And your next question comes from the line of Joe Morford with RBC Capital Markets. Please proceed.
Joe Morford - RBC Capital Markets: Thanks. Good afternoon, guys.
Dunson Cheng: Hi, Joe.
Joe Morford - RBC Capital Markets: I guess, first question just on the margin, were there any interest recoveries that boosted that this quarter and can you remind us what the benefit maybe going forward from even just this half repayment of TARP?
Heng Chen: Yes, Joe. There is – I looked it over the different quarters, there was maybe $800,000 more in interest recovery this quarter compared to – actually compared to a year ago it was about $400,000 more, compared to the fourth quarter, it was about $800,000 more. And then the TARP repayment that should add four basis points to the second quarter margin, because we paid on the March 20.
Joe Morford - RBC Capital Markets: Okay. And then, I guess could you also talk about the kind of rationale for reclassifying your health and maturity securities to AFS, was that primarily just for the purpose of capturing the gain that can use to prepay the structural repos, and just related to that where do you see the margin kind of plateauing out whereas in the past you’ve said maybe around that 3.40 level?
Heng Chen: Yeah, Joe. I think we’ll put more disclosures in our 10-Q, but the main impetus is that we had a $129 million of munis, and they are bank qualified munis, and there was talk during the first quarter about the corporate tax rate being lower. So, we have some concerns that if the corporate tax rate went from 35 to let’s say 30 or some lower number that there would be some reduction in the gains. So, that was the primary impetus was to be able to sell the munis, which by the way had about $10 million of unrealized gains. And then given the FCC’s posture on, if you take the health and maturity, any part of the health and maturity portfolio, you have to transfer everything else to available-for-sale. So, that’s what we did. And then on the margin we would – we want to be positioned for higher interest rates. So, as soon as we get to a 3.40 margin, which hopefully will be in the third quarter, we are going to start shortening that the duration of our securities portfolio, but we are not. So, that’s kind of – that’s kind of where we hope to be.
Joe Morford - RBC Capital Markets: Okay, that’s helpful. Thanks.
Heng Chen: Thank you.
Operator: And your next question comes from the line of Brett Rabatin with Sterne Agee. Please proceed.
Brett Rabatin - Sterne Agee: Hi. Good afternoon everyone.
Dunson Cheng: Hi, Brett.
Brett Rabatin - Sterne Agee: I wanted to get a little more color if I could around the expenses that you were talking about earlier, basically I am looking at the personnel and that was up $3 million linked quarter, and you talked about in the press release, so hiring and some expenses related to the sort of the core conversion that you have ongoing, but you also mentioned earlier the FICA of a $1 million and the $1 million catch-up, does that mean the other million is essentially kind of the conversion expenses for the quarter, and how we think about kind of those various components as we go through ‘13?
Heng Chen: Yeah. The conversion expense was about $2.5 million a quarter. So, we see that as $2.5 million in Q1, the same amount in Q2, and maybe a $1 million in Q3. We have been adding more people, so that may have been as well as we had increases. And then there was some seasonality to our benefit number. So, in the first quarter, we had about $200 million accrued for vacation expense, because very few people go on vacation in the first quarter. And last year, we had in the fourth quarter with the holidays I believe that vacation accrual adjustment was $200,000 or $300,000 downward reducing salaries. And then we had some forfeitures from some people that quit in the fourth quarter last year, so that was about $300,000 or $400,000 so there is some amount of noise, but that’s the background.
Brett Rabatin - Sterne Agee: Okay. And then also I wanted just a follow-up back on the loans. Can you give us any idea maybe of production for the quarter versus 4Q and maybe just kind of your thoughts – any updated thoughts on QM and kind of how you view the mortgage market?
Dunson Cheng: Yes, this is Dunson Cheng. The first quarter of the year, it’s been traditionally our slow quarter and I believe that the production of new loan in the first quarter is roughly about $160 million-$180 million and in the fourth quarter, I think we did about $300 million.
Heng Chen: Yeah, and then on the qualified mortgage, we continue to study that as to what the impact will be, but we’re not – it’s a work in progress.
Brett Rabatin - Sterne Agee: Okay. Fair enough. Thanks for the color.
Dunson Cheng: Sure.
Operator: And your next question comes from the line of Herman Chan, Wells Fargo Securities. Please proceed.
Herman Chan - Wells Fargo Securities: Thanks. With the sale of munis in the quarter, can you talk about what your expectations are for security yields going forward?
Heng Chen: Herman, this is Heng Chen. I think the security yields, the munis that we sold on a fully taxable equivalent basis were I think there is a payable maybe in the – they were 4.86. So, that’s going to lower our overall securities yield somewhat. It’s a very small part of our portfolio, so it’s only $129 million. But in the first quarter, we did buy when the 10-year treasury was above 2%, we did buy $0.5 billion of 30-year MBS. So, that more than offset whatever net interest income loss we would have from selling the munis. So, I would – and then we still have – we have a barbell portfolio to some extent, so for most of the first quarter we had $0.5 billion of sixth month treasury that yielded 15 basis points, and we’re just holding on to that, waiting for loan demand to increase.
Herman Chan - Wells Fargo Securities: Got it. Thanks. And I also want to ask about commercial real estate it was down slightly in the first quarter, can you talk about the outlook there and how much that you can contribute to that 5% to 6% loan growth you’re expecting in 2013? Thank you.
Dunson Cheng: Yes. The decrease of the first quarter in CRE was caused by payoff in several loans. But however, it’s a slight decrease and going forward I would – see I do have a good number for you. I would imagine that CRE would contribute about 30% to 40%, what you say Heng?
Heng Chen: Yeah, I think the – going by our budget, we think that CRE would sort of carry its weight in that. It would grow at 5% to 6%. And then...
Herman Chan - Wells Fargo Securities: Great, thanks.
Heng Chen: I think residential mortgage, we were thinking it was going to be 10% to 15% growth in 2013, and then commercial would be higher than average, so.
Herman Chan - Wells Fargo Securities: Great. Thanks for the color. I appreciate it.
Heng Chen: Sure.
Operator: And your next question comes from the line of Julianna Balicka of KBW. Please proceed.
Julianna Balicka - KBW: Good afternoon.
Dunson Cheng: Hi, Julianna.
Julianna Balicka - KBW: Hi. How are you?
Dunson Cheng: Good.
Julianna Balicka - KBW: I have a few questions on the branches that, that you discussed that you are opening. Are the costs in your expense run rate and if not yet what can we expect for the increase for the cost of those branches and what kind of revenue and balance sheet growth contribution are you thinking about those from either a loans or deposits perspective or both? And then in terms of second half of the year, any further branch opening plans?
Dunson Cheng: Yeah. Julianna, I’ll speak to the further opening of branches. Our plan is to open five branches this year and with three branches, where we feel comfortable that is going to open one in second quarter and two in the third quarter. So, maybe in the fourth quarter, we hope to do two more. And two other branches that we have agreement will be in area – in states that we already have some places and then one would be our state and most of the branches we are looking at, as far as investment is concerned, I would imagine it’s about $300,000 range. Those are not very big branches, and couple of branches that we are opening, already have existing fixtures and some furniture in it, so investments will not be very high. Typically, we figure that we reach a breakeven total deposits and loans above in two years, yeah, about $30 million to $40 million in deposits.
Julianna Balicka - KBW: Okay. And to follow-up on the expense side, you’ve discussed before the improved efficiency that you can get from your core system conversion and part of it also from having a little bit more flexibility in capital management etcetera, etcetera. So, could you talk a little bit about your expected efficiency improvements in the second half of the year that you are potentially looking at, not just the cost – upfront cost of the conversion going away, but just the improved operating cost?
Heng Chen: Yeah, Julianna, it’s Heng Chen. First, as I mentioned, it’s $2.5 million per quarter of consultants and as well as FIS charges related to the conversion. So, that would disappear. Also, we have environmental costs, and they are still fairly high in the first quarter for OREO and legal and workout expense. So, one of things is that our OREO expense in the first quarter was relatively low at $600,000. We have several OREOs that are in escrow, all of which would produce gains some of them might be a little larger than others. So, that would help temper the OREO expense. And then, once again going back to the environmental expense, we are estimating that’s about $2 million a quarter, and if our non-accruals and OREO drop as we expect they will, that expense should be much, much lower in the third and fourth quarter. So, that’s...
Julianna Balicka - KBW: And then do you have any expected improvement in just run-rate efficiency from having a more efficient core operating system or it’s not?
Heng Chen: Not, not this year. We think that the staff will take a few months to learn how to – learn the new system before we can start reducing staff. There is process improvement that we have laid out, and so we’ll probably see that in the first quarter next year.
Julianna Balicka - KBW: Okay, very good. Thank you.
Heng Chen: Yeah.
Operator: (Operator Instructions) And your next question comes from the line of Gary Tenner with D.A. Davidson. Please proceed.
Gary Tenner - D.A. Davidson: Thanks, god afternoon. Just two questions, first on the mortgage sale front, do you expect that to be an ongoing strategy in terms of selling those mortgages or is that more of a, sort of a one-time processor in the first quarter?
Heng Chen: Yeah, Gary, it’s Heng Chen. Its ongoing, we may reconsider it, but with the 15 year conforming mortgage at 2.5% versus two or three point gain from funding and selling it, that’s pretty attractive. And then the 30 year on the conforming basis, we’re getting in the like maybe 3.75. So, it depends on where the interest rates are as to whether we will keep the 30 year production, and then the bulk of our production is from our smart mortgage, which is as well as jumbo mortgages. So, the smart mortgage is priced 1% higher than the conforming way. So, we’ve been keeping those.
Gary Tenner - D.A. Davidson: Okay. And I may have missed this, but the timing of the – of repaying those, repos in the second quarter, the $200 million, what’s the time on that?
Heng Chen: Could you repeat that, I didn’t hear?
Gary Tenner - D.A. Davidson: I thought heard you say, I may have misheard that. You are going to repay another $200 million of structural repos in the second quarter?
Heng Chen: Yes. We’ve committed to you that. Yes.
Gary Tenner - D.A. Davidson: And when during the quarter would that happen?
Heng Chen: It’s $100 million in April, $50 million in May, and $50 million in June.
Gary Tenner - D.A. Davidson: Okay, thanks very much.
Heng Chen: Okay, thank you.
Operator: And your next question comes from the line of Brett Rabatin with Sterne Agee. Please proceed.
Brett Rabatin - Sterne Agee: Hi, I just want to follow-up on capital. I’m just kind of thinking about strategies obviously passed the TARP repayment. And I just was kind of wondering Heng or Dunson if you can kind of give us some thoughts on the dividend policy and share buyback potential, and then just maybe your thoughts on M&A in the next – next year or so? Thanks.
Heng Chen: Yeah, our first priority once we repay the second installment of TARP, would be to increase the dividend, we probably would do it in steps so that we go to maybe $0.05 per share and then go back to our old rate of $0.105. Then buybacks, it depends, we are generating a lot of excess capital because our balance sheet is not growing that rapidly, so we would consider that, but we haven’t had any sort of formal discussions with the – with our regulators on buyback. So, we don’t want to get too far in front of that. Certainly, we will consider it in 2014, when we turn in our capital plan. And then on acquisitions, Dunson do you want to talk about that?
Dunson Cheng: Yes, right. And we are – I would say that we are looking to see whether there are partners out there that we can get together, and grow our balance sheet, so that we can be more efficient. And we look at both out of the market and also in market acquisition as with M&A, the opportunity is really very difficult to quantify, but we have been talking to some of the parties that maybe interested in getting together and we have – at this point in time, it’s very difficult for us to give you any time schedule as to the size of the deal that we will be looking at. But in general, the bank is poised to resume expansion and expanding our asset space.
Brett Rabatin - Sterne Agee: Okay, that’s great color. And then, just as a last follow-up in terms of the new roles, how do you guys think about your level of excess capital in terms of where you are comfortable with either Tier 1 or a dollar amount?
Dunson Cheng: Yeah. Brett, we are geared to a Tier 1 risk based – Tier 1 common risk base. And in terms of our limits, we are geared to that not being lower than I believe 7% on a stress basis and we are fine tuning that as to whether we use the adverse or the severely adverse case. So, that’s....
Brett Rabatin - Sterne Agee: Okay.
Dunson Cheng: That’s where we are, yeah.
Brett Rabatin - Sterne Agee: Okay, fair enough. Thank you.
Dunson Cheng: Yeah.
Operator: (Operator Instructions) And your next question comes from the line of Aaron Deer with Sandler O’Neill & Partners. Please proceed.
Aaron Deer - Sandler O’Neill & Partners: Hi, guys. Just one quick follow-up on the tax rate, that looks like it was a little bit higher this quarter than the run-rate from last year and given the muni sales, I just wonder what the anticipated effect of rate should be going forward?
Heng Chen: Yeah, Aaron, this is Heng Chen. The rate for the first quarter is good for the full year.
Aaron Deer - Sandler O’Neill & Partners: Okay.
Heng Chen: Yeah, it’s 36.9. Yeah.
Aaron Deer - Sandler O’Neill & Partners: Okay, good enough. Thank you.
Heng Chen: Okay, yeah.
Operator: At this time, there are no further questions in queue. Thank you for your participation. I will now turn the call back over to Cathay General Bancorp’s management for closing remarks.
Dunson Cheng: Thank you again for joining us for another earnings call, and we look forward to seeing all and talking to you again next quarter probably sometime in July. Thank you very much.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Good day.